Operator: Good day, ladies and gentlemen, and welcome to the Q1 2018 Hexcel Corporation Earnings Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded. I'd now like to turn the call over to Patrick Winterlich, the Chief Financial Officer. Sir, you may begin.
Patrick Winterlich: Good morning, everyone. Welcome to Hexcel Corporation's first quarter 2018 earnings conference call. Before beginning, let me cover the formalities. First, I want to remind everyone about the Safe Harbor provisions related to any forward-looking statements we may make during the course of this call. Certain statements contained in this call may constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. They involve estimates, assumptions, judgments and uncertainties caused by a variety of factors that could cause actual results or outcomes to differ materially from our forward-looking statements today. Such factors are detailed in the Company's SEC filings and last night’s press release. A replay of this call will be available on the Investor Relations page of our website. Lastly, this call is being recorded by Hexcel Corporation and is copyrighted material. It cannot be recorded or rebroadcast without our expressed permission. Your participation on this call constitutes your consent to that request. With me today are Nick Stanage, our Chairman, CEO and President; and Kurt Goddard, our Vice President of Investor Relations. The purpose of the call is to review our first quarter 2018 results detailed in our news release issued yesterday. Now let me turn the call over to Nick.
Nick Stanage: Thanks, Patrick. Good morning everyone, and thank you for joining us today. 2018 is off to a strong start as we delivered quarterly revenue of $540 million, an increase of 12.8% year-over-year with solid growth across our three markets. This represents a record for Hexcel quarterly sales - first quarter sales. Adjusted EPS increased 13.3% year-over-year to $0.68. Positive free cash flow generation of $3 million in the first quarter of 2018 is particularly noteworthy as the business typically requires cash investment during the first quarter of the year. These results reinforce our previously communicated transition to a cash generation cycle. I'll now share some insight into each of our markets and then Patrick will provide financial details for the quarter. As usual year-over-year comparisons will be expressed in constant currency. Beginning with commercial aerospace, macro trends remains strong including air traffic, continued order flow for commercial aircraft globally, and increasing production rates by our two largest customers. We continue to benefit from the ramping of the A350, A320 Neo and 737 Max production levels with sales for all three of these programs up strongly in the first quarter of 2018 compared to the prior year period. Legacy programs are down about 23% year-over-year, a little less than expected due to the slightly slower transition from the A320 legacy aircraft to the A320 Neo. We believe the previously highlighted supply chain adjustments for the widebody legacy programs are now generally behind us. We are encouraged by the trend of increasing build rates for many of our commercial key programs and I want to take a moment to reiterate some of them. For widebody aircraft, the A350 is increasing to 10 planes per month in 2018 and the 787 is increasing to 40 per month early in 2019. For narrowbody aircraft with 737 Max is increasing to 52 per month with public comments that the rate may be increased further. While the A320 production rate was recently raised to 63 per month by mid-2019. Regional business jet market continues to strengthen with year-over-year growth in excess of 30%. Particularly strong growth is occurring in business jets and it represents a number of different platforms which continues to trend that began late last year. Lastly, I would also note that there have been some well-publicized supply chain constraints in commercial aerospace sector as a whole particularly with narrowbody platforms. These issues have not impacted Hexcel. We continue to all OEM production timing expectations and have not been asked to delay shipments for any commercial aerospace programs. Turning to Space & Defense. Sales were strong year-over-year driven primarily by the F-35 Joint Strike Fighter followed by general strength in military rotorcraft for both U.S. and European programs. The A400M program weakened to some degree year-over-year although we expect a greater impact in subsequent quarters as the production rate adjust downward. Overall, we are encouraged with the favorable trends in general defense spending around the globe and we would expect to see a positive impact on our revenues in the medium term. As a reminder, civil helicopters are reported in our Space & Defense sector and sales in the first quarter were the strongest we've seen over the past two years. Civil helicopter remains less than 10% of total Space & Defense. Finally, turning to industrial. Wind energy sales strengthened in the first quarter as the transition to new generation blades by our largest wind energy customer Vestas begins. Wind energy represented about 45% of total industrial sales for the quarter. We continue to expect higher wind energy sales in the second quarter of 2018 and remain strong through the year. Our motive in other industrial markets also posted solid growth though they are both smaller markets than wind energy. Growth in both of these market sectors was broad base across our customer spectrum. Before I turn the call over to Patrick, I’d like to provide updates on our expansions specifically Morocco and France and a recently announced initiative with Kemah. Our Hexcel team leadership team was honored to be joined by high-ranking Moroccan government officials of the dedication of our Casablanca engineered core facility last month. We have staffed and operating and we are thrilled by the high caliber of talent we've been able to recruit at this facility. The Casablanca plan is supporting growth for a number of customers for both engine and aero structure applications. Our new facility in Roussillon, France continues to progress. We have begun initial production of carbon fiber following extensive cross-training and we're in the process of qualifying the carbon fiber line for aerospace applications. Construction of the PAN line should be completed this summer and that line will then undergo aerospace qualification. As a reminder, the Roussillon capacity will be used to support the A350 program and other growth in Europe. During the first quarter I was also delighted to announce our partnership with Kemah to develop carbon fiber reinforced thermoplastic tapes. This partnership will enable us to further strengthen our technology portfolio to complement our existing broad range of advanced composite materials. Enhancing our product range will provide additional secular penetration opportunities for Hexcel and once confirms our position as a leader in the advanced material market space. In summary, our first quarter results were strong positioning us well for the remainder of the year. We delivered record quarterly sales combined with earnings growth and positive free cash flow. Our growth is supported across a number of different platforms, customers and applications. We remain committed to our three key strategic priorities of driving innovation and growth, enhancing operational excellence, and achieving disciplined deployment of capital including the return of at least 50% of our net income to stockholders through dividends and share repurchases. We remain optimistic for the year and as Patrick will discuss, we are reaffirming our 2018 financial guidance. With that, I'll now turn it over to Patrick to provide more color on the numbers.
Patrick Winterlich: Thank you, Nick. I am going to begin with a review of our markets. As usual, I'll discuss year-over-year comparisons in constant currency. As a reminder, currency movements influence our reported results and some of this impact may not be intuitive. The majority of our revenue is denominated in dollars, however, our cost base is mix of dollars, euros and the British pound as we have a significant manufacturing presence in Europe. As a result, when the dollar weakens against the euro and the British pounds as they have been doing for over year now, our sales translate higher but our costs also translate higher acting as a headwind to margins. Accordingly we prefer strong dollar to a weak dollar. In terms of currency hedging, we utilize a disciplined hedging strategy that lays and hedges over a 10 quarter horizon. As a result, there is a smoothing impact on currency changes and specifically in this instance, the impact of the weaker dollar will become more of a headwind in the second half of 2018 where we could see a headwinds EPS in the order of a nickel. So the $540.1 million in the first quarter of 2018 were up 10.2% year-over-year. This level of sales represents the first quarter record for Hexcel. Our adjusted EPS for the first quarter was $0.68, an increase of 13.3% compared to the first quarter of 2017. The impact of the new revenue recognition accounting standard ASC 606, the sales in the first quarter was a decrease to revenue of $2.9 million and an reduction to EPS of approximately one half of $0.01. The reduction in recognized revenue reflects a reduction in certain inventory types associated with commercial contracts containing termination for convenience closes. We have used the modified retrospective approach for adoption of the standard and the majority of the impact within the commercial aerospace market with a nominal impact to space and defense. As I said last quarter, we do not think the ongoing impact of this standard will be material to our financial statements and we believe the impact could vary up or down quarter-to-quarter by $0.01 or $0.02 per share. Turning to our markets, commercial aerospace represented 71% as total first quarter 2018 sales. Commercial aerospace sales of $382.7 million increased 9.4% compared to the first quarter of 2017. Commercial aerospace sales benefited from the A350 widebody ramp increases in narrowbody aircraft production rates and an increase in business jet demand. Space & Defense represented 17% of first quarter sales Space & Defense sales for the first quarter were $90.1 million increasing 13.6% from the same period in 2017. Increasing production of the F-35 Joint Strike Fighter program and year-over-year growth in military rotorcraft demand drove the sales growth. As noted by Nick we also saw a strong sales performance to civil helicopters though it remained a small part of our Space & Defense sector revenue. The impact of production decreases in the A400M program without this quarter with a double-digit reduction over 2017 which is a headwind we expect to continue throughout the year. Industrial revenue comprised 12% for the first quarter 2018 sales. For the first quarter of 2018 industrial sales totaled $67.3 million reflecting a 10.3% increase compared to the first quarter of 2017. Wind energy was a strong contributor to the quarter combined with strength in both automated and other industrial. As previously mentioned, we expect to see even stronger growth in wind energy throughout the year. Consolidated results on a consolidated basis gross margin for the first quarter was 26.4% as compared to 28% in the first quarter of 2017. The year-over-year decrease in gross margin performance was primarily a result of higher depreciation expense, start-up cost associated with Roussillon, France facility and a weak mix of business in our engineered product segment related to tooling. Total depreciation expense increased $5.4 million from the prior year period reflecting increased capital expenditures in recent years. The depreciation expense will continue to trend higher in 2018 and we now expect the year-on-year increase to be in the region of $20 million. Note that we are not yet fully depreciating the Roussillon site which - will happen once it is commissioned operational later this year. SG&A increased 2.6% in constant currency from the prior year reflecting growth in the business particularly the addition of our new site in France and Morocco. Research and technology expenses increased 3.7% in constant currency year-over-year consistent with our prior disclosure that we will continue to invest in innovation. Our R&D investments both advance and protect are constantly leadership position as we enhance our existing solutions continue to improve processes internally and for our customers and develop new solutions for existing and new programs. For the first quarter operating income increased 4.8% to $82.4 million or 15.3% of sales as compared to $78.6 million or 16.4% of sales for the first quarter of 2017. Operating income benefited by approximately 20 basis points from exchange rates due to our currency hedging program as our currency hedges offset the impact of the weakening dollar. The Composite Materials segment represented 82.3% of total sales and generated a 19.6% operating income margin for the first quarter of 2018 as compared to a 20.2% margin in the prior year period. The Engineered Product segment which is comprised of our structures and engineered core businesses represented 17.7% of total sales for the first quarter of 2018. Engineered Products generated a 10.4% operating income margin for the first quarter as compared to a 14.2% margin in the first quarter of 2017. The quarter was impacted by a weak mix of tooling sales related to the 777X program. We expect the Engineered Product segment margin to return to a normal 12% to 14% range for the remainder of the year. As a reminder, the return on invested capital for this segment is very attractive while margins are lower than the Composite Materials segment Engineered Products utilizes a much lower level of capital. The effective tax rate for the first quarter of 2018 was 18.9% this effective rate was favorably impacted in the current period via shared based compensation which typically has the greatest impact in the first quarter of our fiscal year. We still expect the underlying effective rate for the year to be 25% which is consistent with our 2018 guidance. Free cash flow for the quarter was a positive $3.1 million compared to a use of $31.3 million for the prior year quarter. This reinforces our recent messaging that we are entering a period of cash generation from a period of capital investment. Capital expenditures were $45.3 million for the first quarter on an accrual basis which is consistent with our 2018 financial guidance. Capital expenditures in the prior year period were more than doubled at $92.9 million. We report as $31.1 million of common stock during the first quarter of 2018 and have $212.5 million remaining under our share repurchase program. First quarter 2018 interest expense was $8 million and we expect to quote the interest expense around this level or slightly higher for the remaining quarters in 2018. Finally our Q1, 2018 earnings release reiterates the guidance we provided during our full year 2017 earnings call. As a review, we continue to expect consolidated sales of $2.1 billion to $2.2 billion or 9% growth at the midpoint. By market we continue to anticipate commercial aerospace growth in the high single-digit, sales to remain relatively flat in Space & Defense where we see strong growth in certain programs offset by the A400M and double-digit growth in industrial driven primarily by wind energy sales. For 2018, we expect EPS of $2.96 to $3.10 with an effective tax rate of 25%. We continue to forecast CapEx expenditures in the range of $170 million to $190 million. Free cash flow is forecasted to be greater than $230 million. I would also like to reiterate that we anticipate returning to shareholders through dividends and stock buyback greater than 50% of our net income. With that let me turn the call back to Nick.
Nick Stanage: Thanks Patrick. Industry trends are favorable across our markets. We started the year strong with solid results including positive free cash flow generation and our team remains focused on innovation and operational excellence. The market outlook for a product appeared robust in investment and capacity in leading-edge technology including our latest additions in Morocco and France positioned us well to take full advantage of the commercial opportunity in front of us and create significant value for shareholders. Our R&D team continues to develop with industry-leading applications and customer solutions to position us for the next generation of aircraft and industrial applications. Hexcel continues to be world leader in advance composite materials and we're excited as we look ahead to the rest of 2018 and beyond. Judy, we will now be happy to take questions.
Operator: [Operator Instructions] Our first question comes from Rob Spingarn with Credit Suisse. Your line is now open.
Rob Spingarn: A couple of things, first just on the margins you spoke about some of the reasons why you didn't have, why the margins didn’t really pace with the sales growth. But is there any more you can speak to other than things like currency and it sounds like the new facility start-ups. Is it volume at the new facilities is it growing pains or is anything else in there?
Nick Stanage: Well, I’ll take a shot at it first basically is really three factors it was one the depreciation step-up of $5 million plus. Second, it was a start-up of the new facilities mainly Roussillon but keep in mind we’re still growing in Morocco and there was a slight impact in Q1 as we transfer product and grow in their site. And then lastly we did have some mix especially in engineered products which impacted us this quarter. So nothing operationally business is performing very well just a little bit on the timing.
Rob Spingarn: And then just one on cash flow, you've talked in the past about your long-term your guidance for free cash flow especially as you enter this cash harvest period, but with 230 million for this year and looking back at the front end of this guidance. It suggests that you might be somewhat flattish in the years forward and your CapEx seems to have stabilized in that - I think you said - roughly 180. So Nick what is the right way Patrick - what's the right way to think about cash conversion as your topline continues to accelerate here?
Nick Stanage: So, there is a few questions in there. So generally we see and we guided with respect to the longer term growth outlook and continued profitability in driving margin expansion. So I would expect the profitability to grow with the sales. On the CapEx, CapEx we really haven't guided exactly to next year. It’s little early. We gave a rough range. Hopefully we'll have programs to talk about that will require incremental capital as we secure those programs. But right now we see free cash flow growth through the period looking out.
Rob Spingarn: On an annual basis?
Patrick Winterlich: Yes, for us to deliver the 1 billion over the five year period we previously talked about in 2016 through 2020. 2019 and 2020 have got to be pretty strong free cash flow which we still standby.
Rob Spingarn: But you don't have any conversion number you want to put to that or kind of growth number?
Patrick Winterlich: No, I mean we haven't guided to those numbers. We've just put out the 1 billion in that five year period. I mean you can…
Rob Spingarn: You can back into it to some extent, but I wanted to get an idea of slope.
Patrick Winterlich: Well, it’s going to be fairly sharp in 2018, 2019 and 2020 to deliver those numbers.
Operator: Thank you. Our next question comes from Noah Poponak with Goldman Sachs. Your line is now open.
Noah Poponak: Nick you mentioned seeing no impact from the production bottleneck challenges on 737 that have been in the press. Could you just elaborate on that what it is that’s allowing for there to be challenges discussed in the marketplace, but for simultaneously not to be impacting anybody in the supply chain?
Nick Stanage: Yes, so let me give you my view overall on the narrowbody. So make no mistake and we communicated that we have 40% to 50% incremental volume on the Max and the Neo versus legacy. So anything that impacts the transition certainly impacts us. What we were referring to is the severe ramp rate for the LEAP engine and the dual turbo fan and some of the growing pains with respect to some bumps on the dual turbo fan and some production delays with the LEAP. There is some bumps in there but from the pull of our materials, it’s been very consistent and we have not been asked to delay or push back which gives us confidence that the problems are being worked and our customers have laying a sight on how they’re going to deliver to their commitments for 2018 and beyond.
Noah Poponak: And is that equally true in the structures outside of the engine that you delivered to as it is for structures around the engine?
Nick Stanage: It would be no different for us. We may have a little bit - we communicate that our leadtime from final assembly line is roughly six months. Some of those parts are earlier, some are a little longer, but the average is roughly six months. But we see the pull and we do not see any deferrals in structures, materials or components.
Noah Poponak: And another follow-up on the margin question, was anything on the pricing side that changed in the quarter?
Patrick Winterlich: Pricing was where we expected to be no, it was really all about the headwinds that Nick has called out and I describe the depreciation the new side in start-up costs and a bit of mix in engineered products.
Operator: And our next question comes from John McNulty with BMO Capital Markets. Your line is now open.
John McNulty: Question on Roussillon in terms of the headwinds that you're dealing with in 2018 I guess can you try to quantify that or put some numbers around it and more importantly I guess as we look to 2019, how much of those headwinds - excuse me, headwind reverse and become tailwinds?
Nick Stanage: So just a little bit on the Roussillon site. Remember this is a very large site investment in the range of $250 million and you really need to think of it as a co-located two lines, one being the precursor or as we call PAN the other being a carbon fiber. The carbon fiber line has been up and running has run industrial product and is being qualified for aerospace as we speak. So that line is basically turned over to operations. The PAN line is now being finalized and should start the qualification process midyear. Now, as that line comes up and we start flowing PAN and carbon fiber through the headwinds will start to diminish up through the end of the year. We really don’t want to get into specifics, but I would expect us to have a pretty big tailwind going into 2019.
John McNulty: And then just a question on space and defense, it sounds like despite we were pretty surprisingly large numbers in the quarter. You think they pretty much reverse and get the M400 is winding down and maybe it took a little longer, but maybe it falls a little harder in the back half. But I guess where else do you see things slowing up or seizing up or is it really just the M400 because it does seem like you came out a lot stronger than we would have thought or expected in the first quarter?
Nick Stanage: Well we’re definitely happy with the first quarter. We’re happy with the fact that a civil rotorcraft turned the corner and granted it's not a huge part of the space and defense. It’s a welcomed turn of events. Remember we’re on a lot of programs, a 100 plus and it can be very lumpy quarter-to-quarter depending on our customer order patterns and the delivery rates. So although we're very optimistic, I really want to see another quarter before we think about moving to midpoint, but I wouldn’t be surprised if it trends up a little bit.
Patrick Winterlich: To answer your question John, really the only item we’re seeing headwind on right now is the A400M and we do expect that to come down more sharply throughout the year than it did in Q1.
Operator: And our next question comes from Gautam Khanna with Cowen & Company. Your line is now open.
Gautam Khanna: Hypothetically if the 350 were to go above 10 a month to say 13 a month, how much incremental capital would you have to put in the ground to support it?
Nick Stanage: So, those are hypothetical situations that we certainly hope come to fruition with $4.8 million per shipset that's a good problem to have clearly not a problem. Gautam, I don’t really want to get into distinguishing relative capital investment because you could back into what our capital costs are and its competitive information we really don't want to share. I would tell you this, we're intermittently involved with Airbus very close with them on their current needs and what they’re looking as potential down the road. As you know they’re communicating 10 per month by the end of this year and we were certainly in line to support that with the Roussillon facility coming up. We also if you recall we announced our additional CapEx investment in Decatur which will drive incremental PAN and carbon fiber that will be a co-low - created site which again will give us some bandwidth to support additional growth in programs including JSF, LEAP, narrowbodies and potential upswings in the A350, if they come to fruition.
Gautam Khanna: So you actually have some flexibility within the existing footprint to accommodate higher volume wouldn't all be incremental, if that were to happen?
Nick Stanage: So by definition given that most of our material is sole source, we can't be short. So by definition, we have to be a little long. Now we manage that very tightly. And you know whether we could do one plane of this model per month or a couple of another, we look at that and our total CapEx model. And we balance it against declines. So the A380 is coming down still and the A400M is coming down. So we make sure our assets are fully utilized. Remember they're frangible and we optimize our footprint and our capital utilization that way.
Gautam Khanna: And switching on a different topic, acquisition pipeline you've done a couple technology tuck-ins in the quarter one of your ended up knocking an acquisition of another company. I just wondered, is there anything upsize out there that would be of interest to you I’m not asking for specifics. But I'm just curious in terms of M&A, is that a real opportunity to kind of significantly bolster the company or is it all going to be kind of R&D by another name type acquisitions?
Nick Stanage: Yes. So as far as attractive and being targets we like – we focus on the technology and positioning us in our portfolio to grow and increase secular penetration. To move the needle on the topline significantly, both opportunities are limited. You pretty much see what's out there in our space. We're certainly the market leader. But having said that I would tell you there are very interesting technologies around the edges and within our portfolio that we're looking at, we're very excited about.
Operator: And our next question comes from Greg Konrad with Jefferies. Your line is now open.
Greg Konrad: Just to follow up on the A350, I mean you mentioned the 10-month rate kind of where are you versus Airbus' plan today?
Nick Stanage: So we basically are in the nine per month shipping rate. And certainly, we're ramping up and would expect to be in the 10 per month range probably mid-year July/August timeframe.
Greg Konrad: And Nick and then I mean you touched on it briefly in your opening remarks, but I mean it seems like throughout the supply chain we saw a number of announcements around thermoplastics rather either on the M&A side or also just strategic partnerships. And I think you announced one in the quarter also. I mean how do you view the opportunity and maybe your positioning in the market?
Nick Stanage: Well we've been a player and a key contributor in thermoplastics for many years. Our fiber is the benchmark in the thermoplastics aerospace industry. So we know this space very well. There are technologies evolving that provide more opportunities for secular penetration on parts, many of them being in secondary structures, but other opportunities with new net shapes and compression molding. So we're excited to add this to our portfolio. We think it's a great addition to help make sure we have a fully rounded out portfolio to serve our customers and we see it as a great opportunity to continue the secular penetration.
Operator: Our next question comes from Mike Sison with KeyBanc. Your line is now open.
Mike Sison: In terms of the JSF I think the market’s outlook for 90 this year versus 66 last year is your sales in line with that type of growth.
Nick Stanage: No, we would agree with that Mike, yes. So this year 2018 and 2019 we expect that the rates to increase and those numbers you just mentioned sounds sensible.
Mike Sison: And the growth you're seeing in the JSF will be similar every quarter was it pretty even?
Nick Stanage: Well military spending can always be a little bit lumpy, I mean if you remember we supply the carbon fiber, so we supply that through and then that gets converted and sold on to Lockheed. It's normally fairly steady Mike. I mean it's not going to be perfectly balanced, but we would expect it to be fairly steady growth.
Mike Sison: Just a quick follow up on the partnership at Arkema the carbon fiber reinforce thermoplastic tapes. What applications do you think that would apply to and you know how big is this opportunity longer term?
Nick Stanage: Well collaboration with Arkema and just a little bit on Arkema they've been a partner of ours and we buy materials from them for a long time. It's really a collaboration to enhance and develop technologies in some cases that do not exist today. So we are developing and intend to develop materials that process faster, can be made into more near net shapes out of autoclave with minimal storage constraints i.e. the need to freeze. So Mike, we're you know it's early in the development here, but we're very optimistic that this could be a nice growth opportunity for us going forward.
Operator: Next question comes from Chris Kapsch with Loop Capital Markets. Your line is now open.
Chris Kapsch: I had a follow up on the margin...
Nick Stanage: Well Chris we can’t hear you.
Chris Kapsch: Sorry about that can you hear me now?
Nick Stanage: I can hear you thanks.
Chris Kapsch: So, follow up on the margin progression and focused on what you described as start-up cost. I'm just trying to get a little bit more color on that. Are you talking about basically unabsorbed overhead costs associated with the new facility or just some inefficiencies associated with ramping? And then you did mention you're running fiber so presumably you're selling that fiber into the industrial markets before it's qualified. So I'm wondering if there's also a mix effect that's dragging on results and when would you expect that to inflect? When will you have this fibre qualified as aerospace grade?
Nick Stanage: So Chris it is absorption. I mean the fact of the matter is, we have lots of people being trained, working the line, commissioning the line on the PAN side. We have people from the U.S. that are experts in this. The expertise historically resided indicator Alabama. So we're transferring a lot of that knowledge and training. And there's a lot of people working to get that line qualified up and running. So as we mentioned in our remarks we do expect this to start to inflect in the second half of the year. And to your point on carbon fiber, we are running some carbon fiber lines for industrial and some of that material will go into the market and be sold.
Chris Kapsch : Is there any way you can quantify what the anticipated benefit is, in the gross margin once this inflex once you have the fibre qualified as aerospace grade in the second half?
Nick Stanage: So indirectly what I will say so last year if you remember in 2017 we called out about a $10 million headwind for the year as a combination of Roussillon Morocco's start-up costs by far and a way that the lion share of that relates to Roussillon in France. So this year we probably got about half of that and that's going to impact in the first half of 2018. So the best thing I can advise is sort of take that $4 million or $5 million and adjust in the second half of the year by that when once the line should become as an excise productive and we start to generate income.
Chris Kapsch: And just to follow up on the discussion around the narrowbodies the extent that there is constraint and I guess teething pains associated with the engines for the Max and Neo platforms. And the fact that you guys haven't seen any delays or haven't been asked to defer any shipments is that or – should we just assume that what's happening is that they just continue to keep rate on the sort of the legacy platforms which you keep shipping to and that - your step up in mix in terms of content per shipset is still on the comp. Does that makes sense?
Patrick Winterlich: I think that's right and I think we pulled it out in one of our commentaries a little while ago where the transition between the A320 Legacy and the A320 Neo is a little bit slower than we expected, but the underlying build rate as you rightly say is going up and so we are supplying basically the quantity of materials we expected slightly reduced by the slow transition to A320 Neo.
Operator: Our next question comes from Richard Safran with Buckingham Research. Your line is now open.
Richard Safran: There was something, I wanted to ask you guys about last quarter it was on additive manufacturing. You noted that with the OPM acquisition you're now the world’s leader in additively produced part. So I understand right now it's a modest size, but what I'm trying to look at here is the acceptance rate how quickly you think printed parts are going to progress? We've seen some rapid progress with metal, so I'm trying to find out if printed parts are going to be a meaningful share gain story for you as you know you start to replace conventionally produced parts?
Nick Stanage: So just to clarify I think what we said was we're the world's leader on aerospace, composite, thermoplastic, additive manufactured parts and that's based on our qualification with Boeing and our shipments through their space and defense programs. So I - we are very excited about the technology. We have tremendous pull and interest both from the space and defense sector as well as commercial. If you look at the benefits of making your net shape – of complex parts that traditionally may have been made out of metal, metal joining of multiple parts are very expensive this offers an opportunity and a technology that can simplify those designs, and provide parts in a very short cycle time. So again it's really starting up. We're teaching the market on its capability. We have a great team in Hartford. We have multiple machines running as we speak. And again it's going to take some time for it to really demonstrate its capability and its productiveness in the commercial market.
Richard Safran: My second question is and if I missed part of the earlier part of the call so if I missed, if you said this I apologize. Patrick I was a little surprise given the performance in 1Q that you maintained the guide I heard the remarks at the outset here. Just wondered if you have any comment about how you might be thinking about your guide right now given the 1Q performance?
Patrick Winterlich: I mean really just to sort of echo Nick. We were obviously very pleased with the sales in the first quarter, it was a record quarter of sales for us across our markets spectrum we saw a good growth almost everywhere we look. And yes we are standing by our guidance. We believe it's a little bit too early in the year to adjust. But obviously perhaps we see strength and we would see the way we are going to be above our midpoint and pushing the range a little bit. So we see ourselves moving in that direction which is a great way to start the year.
Nick Stanage: And I would just add remember, again we need to see another quarter on space and defense, since it does tend to be lumpy. And I'd remind you sequentially it is actually down below fourth quarter of 2017. So again, we're still excited on the space and defense side. We're also watching closely the wind energy ramp which is incredibly steep for the balance of the year. So maybe being a little bit conservative we want to see a little bit more before we before we adjust our guidance.
Operator: Our next question comes from Drew Lipke with Stephens. Your line is open.
Drew Lipke: I was curious can you maybe quantify the expected depreciation step up in the back half of 2018 from the France facility coming online?
Nick Stanage: Well it's included. So I think I called out all my sort of an amendment to our previous indication that we're now expecting about $20 million step up between 2017 and 2018. With the Roussillon impact which will just obviously be the [indiscernible] quarters that everything included in that. But it's a little bit more complicated than just looking at Roussillon because we've had a number of assets sort of getting layered in overtime. I actually think the $5 million step is going to be similar each quarter to be honest Drew?
Drew Lipke: The step up from the 14 million previously?
Patrick Winterlich: So the 14 is now 20 which is roughly 5 million a quarter.
Nick Stanage: That includes Roussillon.
Patrick Winterlich: That includes Roussillon.
Drew Lipke: And then you talked about the wind ramp and as we look at the composite materials segment there. Should we expect any kind of negative mix impact through the year just as wind does ramp?
Nick Stanage: No I don't think how wind factor is significant enough to really dilute our overall margins perhaps very, very slightly. But again if you look at different metrics if you look at our ROIC et cetera is probably going to be a boost because of the low relatively low level of capital employed it’s not our own carbon fiber. So it's very positive to ourselves it’s good to our margins. But I don't think it's going to be large enough as great as it is to actually dilute the overall margin Drew.
Drew Lipke: And then just last one for me on the 787 and then expected to step up in kind of back half of 2018 for you guys do you expect to see any kind of impact from the Trent 1000 issues. It does sound like we're maybe seeing a build-up of guiders there as engines go to address AOG concerns.
Nick Stanage: Nothing that we're hearing yet Drew I mean obviously the engine stories are out there. We obviously still understand that Boeing and intend to go to sort of rate 19 early 2019 March or April.
Patrick Winterlich: Rate 14.
Nick Stanage: Rate 14 sorry early 2019. So we'll move up from 12 to 14 at that point and we should see an increase. We're still expecting an increase around quarter for this year. We haven't heard anything to the contrary.
Operator: And the next question comes from Ken Herbert with Canaccord. Your line is now open.
Ken Herbert: I just wanted to ask question on the potential opportunity around the mid-size aircraft the middle of the market aircraft and not so much on sort of timing or how do you view that perhaps but more importantly, I think for your standpoint [indiscernible]. Can you just talk about maybe where you're investing because obviously investing to position yourself and possibly pushing your capability forward. But in relation to that program how you view sort of Tier and your investing and maybe the level of activity today that you're focused on, and how you see that evolving as you look to perhaps take some share with that particular customer and push the value proposition forward?
Patrick Winterlich: So Ken, I mean we work week in week out month in month out with our major customers on technology developments and a lot of the time is generic rather than specific. And obviously the mid-sized aircraft is not has not been formally approved yet as you know, so there's a lot of speculation. But so we're working on a spectrum of technologies. We continue to enhance our portfolio as Nick has talked about several times today and we're pursuing all the applications we can. And as you would expect this to get as much material on that plane as possible, now Boeing not wishing to temper anything, but Boeing has sort of talked about that plane is really being an opportunity for them to fine-tune shop-floor processing and their in-house sort of efficiencies and productivity. So how much new technology they’re actually going to introduce is yet to be seen. But clearly we are, as I say we continue to work with them in the so called generic way across the air structure and across the engine platforms to make sure the headset is positioned as strongly as possible.
Ken Herbert: Do you believe you'll see a significant increase or a step up in carbon fiber content opportunity on that program. Say certainly relative to the current generation but I guess very specifically do you believe or get a sense that you got the opportunity to compete on not only the wing but fuselage as well or how do you view that opportunity shaping up for you?
Nick Stanage: I mean as it stands today clearly we have an opportunity. I mean we are in the rates with everyone else. I mean it’s not a replacement it’s a new aircraft. We as I say, we are promoting our technologies how far Boeing go with new technologies either side has yet to be seen but where they do absolutely we are in that race.
Ken Herbert: And just finally that’s helpful just [technical difficulty]
Nick Stanage: Ken, we can’t hear you at the moment you're actually breaking up.
Ken Herbert: Just a follow-up on wind is the acceleration you're looking forward can you - I guess as I read the commentary and listed your comments today it sounds like we should be looking for an acceleration in the wind growth going through the year as your customer obviously ships more as you obviously transition from a mix standpoint to the better products I guess is that a fair way to look at it?
Nick Stanage: Absolutely, so they’re making their transition now. We were very sort of pleased to see that quarter one was where we expected but the real growth the real ramp is going to start in the second quarter yes?
Operator: And our next question comes from Ron Epstein with Bank of America/Merrill Lynch. Your line is now open.
Ron Epstein: It’s been a lot of conversation on the call about technology so and so forth. So just kind of going that same lane, when you look at your R&D expense under your organic technology development. Can you give any color around what areas you're looking at I mean is, [cold cure] a place to go, is ceramic matrix a place for you guys to go. When we think about like different channels of technology and potential growth that you could do what do you think about?
Nick Stanage: So, I’d say when you look at our R&D it’s mixed, its focused on certainly some blue sky technology that is not in production today. Related to both materials and process enhancements, out of autoclave, fast or snatchers just different resin formulations to provide value add to the materials. We also focus on technology around processing to help throughput, efficiency and overall competitiveness of the materials to enhance secular penetration and deliver on what our customers are looking for. Composite matrix and ceramic matrix that's really not in our real house today and I could say it’s something we’re not looking at today. We got enough carbon fiber and preprag and engineered product and Acousti-Cap and sound key materials and products that we’re working on to drive incremental growth.
Operator: And our next question comes from Hunter Keay with Wolfe Research. Your line is now open.
Unidentified Analyst: This is Will for Hunter. In your Q you indicated that this drove much of the 30% growth in other commercial, was this broad based or was this driven by certain bizjet OEs
Nick Stanage: Well it was heavily influenced by bizjet Bombardier we saw Embraer were all very strong. If you look at Gulfstream G500 and Bombardier Global 7000 those were very strong platforms and we did see an uptick in the regional segment there with ATR on the turboprop. So it was fairly broad based and we’re certainly excited to see that growth come through.
Unidentified Analyst: And then on margins, is this still possible for you to hit incremental operating margins of 25% this year with the mix and startup headwinds or is this something that's more of a 2019 event?
Nick Stanage: So we’re working all the time to grow our margins in terms of team performance. We’ve talked about certain headwinds this morning which we continue to work through, some are timing and some are sort of sales mix as we described. We're confident that we’re going to return to more normal margin range for the rest of the year. So we know we've maintained 25% and we strive to work towards that - its more challenging at times but as I say improving our margins, productivity, yield, efficiency is our mantra day in day out and we still pushing in that direction and we will continue to push this year and next year and even in 2020 to keep growing our margins.
Operator: And our last question in the Q&A session is from Myles Walton with UBS. Your line is now open.
Myles Walton: I just had a couple of clarifications if I could, so on the depreciation picking up to 20 million growth versus the 2014 it doesn’t sound like the sales look really changed. Are you just bringing on facilities faster in different way. And then also on SG&A, I think it was close to fall sequentially in the next three quarters is that still the case?
Patrick Winterlich: Yes, so on the depreciation Myles really down to timing understanding exactly the timing of when assets are coming on and there is a bit of FX in there as well. So, it’s kind of combination of the two that pushes as far as where we would now gone to 20. And in terms of SG&A, yes the first quarter is always the heaviest quarter for us because of the compensation benefit payments, stock related payments in quarter one and so we would expect that to step down for the remainder of the year which is typical for Hexcel over several years.
Myles Walton: Is that step down still about 8 million?
Patrick Winterlich: Give or take yes that’s right magnitude Myles yes.
Operator: And we have one final question from David Strauss of Barclays. Your line is now open.
David Strauss: Sorry if I missed this, on currency can you tell us where you are from a hedging standpoint this year and as we look into 2019?
Patrick Winterlich: Yes, so just probably to repeat what I have said in the past, we hedge out 10 quarters on sort of - on a declining basis as I look at the rest of 2018, I’m probably about 75% hedged. As we look out to 2019, that’s probably near the 50% range. And then a couple of quarters added to 2020 we’re right down to sort of 10%, 15% range. So we’re pretty solidly hedged for the remainder of 2018 and unless there is significant currency movements as we describe, we expect to see a bit of a headwind compared to what was assumed in our guidance in the back half of 2018.
David Strauss: And then last one for me. Any update on 777X where things stand for you guys there and any idea of what your shipset content could end up looking like?
Nick Stanage: We’re still working - perhaps we’re all a little bit frustrated but the fact is haven't all be awarded and sealed yet, so it still going to be around the end of this year before we’re going to confirm what our new 777X shipset value actually is other than it is above the 777 shipset.
Operator: Thank you. And that does conclude our Q&A portion of the call and the call in general. We thank you for listening and this concludes your program. You may all disconnect. Everyone have a great day.